Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Cognyte Software Ltd. Third Quarter Fiscal Year 2026 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers' presentation, there will be a question and answer session. To ask a question during the session, you will need to press star 11 on your telephone. You will then hear an automated message advising your hand is raised. To withdraw your question, please press star 11 again. Please note that today's conference may be recorded. I will now hand the conference over to your speaker host, Dean Ridlon, Head of Investor Relations. Please go ahead.
Dean Ridlon: Hello, everyone. I'm Dean Ridlon, Cognyte Software Ltd.'s Head of Investor Relations. Thank you for joining us today. I'm here with Elad Sharon, Cognyte Software Ltd.'s CEO, and David Abadi, Cognyte Software Ltd.'s CFO. Before getting started, I would like to mention that accompanying our call today is a presentation. If you'd like to view these slides in real time during the call, please visit the Investors section of our website at cognyte.com. Click on Upcoming Events, then the webcast link for today's conference call. I would also like to draw your attention to the fact that certain matters discussed on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and other provisions of the federal securities laws. These forward-looking statements are based on management's current expectations and are not guarantees of future performance. Actual results could differ materially from those expressed in or implied by these forward-looking statements. The forward-looking statements are made as of the date of this call and, except as required by law, Cognyte Software Ltd. assumes no obligation to update or revise them. Investors are cautioned not to place undue reliance on these forward-looking statements. For a more detailed discussion of how these, and other risks and uncertainties could cause Cognyte Software Ltd.'s actual results to differ materially from those indicated in these forward-looking statements, please see our annual report on Form 20-F for the fiscal year ended January 31, 2025, and other filings we make with the SEC. The financial measures discussed today include non-GAAP measures. We believe investors focus on non-GAAP financial measures in comparing results between periods, and among our peer companies, that publish similar non-GAAP measures. Please see today's presentation slides, our earnings release, and the Investors section of our website at cognyte.com for a reconciliation of non-GAAP financial measures to GAAP measures. Non-GAAP financial information should not be considered in isolation from, as a substitute for, or superior to GAAP financial information but is included because management believes it provides meaningful information about the financial performance of our business, and is useful to investors for informational and comparative purposes. The non-GAAP financial measures that the company uses have limitations and may differ from those used by other companies. Now I'd like to turn the call over to Elad.
Elad Sharon: Hello, everyone, and thank you for joining us. Cognyte Software Ltd. delivered another strong quarter in 2026. Revenue grew in the mid-teens, and operating income grew significantly faster. Cash flow from operations was strong, and the team continued to execute well. These results underscore the strength of our value proposition and the healthy demand for AI-powered investigative and decision intelligence solutions. Momentum continues to build. We are raising our full-year guidance and are making strong progress towards achieving our targets for the fiscal year ending January 31, 2028. Let me walk you through the key drivers of the quarter. We executed with clarity on purpose, helping our customers make the world safer and delivered meaningful customer wins in the law enforcement, national security, and military intelligence sectors. In Q3, we secured several major deals and expansions. This included a $5 million follow-on subscription agreement with a tier-one military intelligence organization in EMEA, building on an earlier about $10 million perpetual award from this year. This marks another important win in the military intelligence domain, reinforcing the momentum we have established with defense organizations. We also saw continued momentum with long-standing national intelligence customers, renewing and expanding multimillion-dollar contracts, reflecting the strength of our repeat business and the trust our existing customer base places in us. While government customers typically procure through perpetual licenses, we continue to see strong patterns of recurring demand driven by capacity expansions, new functionality, new use cases, and coverage of additional units within agencies. This repeatability in our perpetual business has the potential to drive revenue durability, provide multi-visibility, and support our long-term growth. The US market continues to present a significant opportunity for us, and we continue to invest accordingly, expanding our partner ecosystem, strengthening our team, and increasing field activities. Our new partnership with LexisNexis Solutions is progressing well with deepening technical alignment, expanding joint engagements, and strengthening our traction in both federal and state and local stakeholders. Over the past quarter, we participated in joint events and delivered solution training to their sales organization. This is one example of the multiple partnerships we are building to broaden our reach and grow our business in this region. We continue to see increased interest from military intelligence organizations, including from several NATO countries, reflecting the growing relevance of our capabilities to multi-domain defense missions. At the same time, momentum across law enforcement and national intelligence markets remains strong. Recent industry events reinforce this trend, with meaningful customer conversations and expanding engagement across all regions. Today's threat environment is more connected, fluid, and complex than ever. Our customers face adversaries that cross borders, mandates, and restrictions while the data needed to understand threats remains augmented in silos. Our customers and we are increasingly seeing threat vectors evolving to hybrid and transnational scenarios. Let me share what this actually looks like in the real world. First, a case involving sophisticated transnational criminal networks. Opioids move across borders. Violent crime rises in metro cities. Unusual cryptocurrency flows are detected by financial intelligence units. On paper, these appear unrelated. Border Police focus on drugs, local police center the violence, and financial intelligence units investigate the illicit finance. Each operates within its own mandate and its own systems. But when you correlate the signals, trafficking routes, communication metadata, financial flows, and travel patterns, it becomes clear these activities are being conducted by the same criminal network. Another example, a case involving hybrid activity driven by state-backed actors. Online personas incite social unrest. Protests turn violent in major cities. A hospital is hit by ransomware. Again, these appear unrelated. The intelligence agency tracks the online activity, public order units deal with the unrest, and a subunit handles the hospital. Each operates within its own mandate and its own systems. But when you correlate the signals, cyber indicators, financial flows, travel patterns, and online behaviors, it becomes clear it is one coordinated campaign. The adversaries see the whole picture. For the agencies, it's a significant challenge. And whether the threat is criminal, financial, terror, or hybrid, the root problem is always the same. The threat is unified, the data is not. This is exactly where Cognyte Software Ltd. creates the most value. We help the good guys close the gap by giving them a clearer picture of the threats they need to predict and prevent. We help agencies eliminate the unknown by revealing the hidden connections adversaries rely on. Our AI-driven multi-domain, multi-source, cross-restrictions decision intelligence platform fuses data across silos, uncovering hidden insights that allow agencies to resolve identities and relationships, detect hybrid behavior and criminal patterns, and enable faster, higher confidence decisions. And while our platform can uncover insights across silos, its value begins inside each individual agency unit and mission. Every day, we power investigative, tactical, and analytical workflows for financial intelligence, border security, organized crime investigations, counter-terror, and more. This strong foundation inside each agency is ultimately what makes wider collaborations possible. I mentioned earlier that threats are unified and data is not. We operate in one of the most complex data environments in the world. Massive volumes, high velocity, fragmented systems, and dozens of structured and unstructured formats. We see data differently, enabling agencies to analyze massive, diverse datasets that no human or point solution could process alone. Our platform ingests, normalizes, enriches, and correlates all of it, creating a coherent, connected operational picture of actionable intelligence. This is why we continue to win. Decision intelligence is becoming the foundation of modern investigations. And our technology leadership in this domain continues to be recognized. This quarter, we again received strong Gartner recognition for predictive analytics and intelligence platforms for improved decision making. All I've just discussed is reflected in our financial results. We delivered another quarter of profitable growth with strong year-over-year gains across revenue and profitability. Our financial leverage remains strong. With 13% top-line growth, we nearly tripled non-GAAP operating income year over year. Given our performance and momentum, we are raising our full-year outlook for the fiscal year ending January 2026. We now expect revenue of approximately $400 million, which represents year-over-year growth of approximately 14%, and adjusted EBITDA of approximately $47 million, which represents overall growth of approximately 60%. As we look ahead, we see a future defined by opportunity. Demand for our capabilities is healthy and continues to grow. Our AI-driven technology gives us a clear edge, and our team is executing with precision and purpose. With the deep trust of our growing global customer base, we're excited about the future and well-positioned for the road ahead. We remain committed to delivering sustained value for our customers, our partners, our employees, and our shareholders. David, over to you.
David Abadi: Thank you, Elad, and hello, everyone. We continue to make strong progress and have exceeded our business expectations with the support of healthy demand and good visibility. For the third quarter, revenue was $100.7 million, up 13.2% year over year, driven by ongoing demand for our software solutions. Software revenue was $41.9 million, an increase of $11.9 million or 39.6% year over year. Software revenue is comprised of perpetual licenses, appliances, and some term-based subscription licenses. Software service revenue was $46.9 million, up $1.6 million from last year. Software services revenue comes mainly from support contracts and, to a lesser extent, cloud-based SaaS subscriptions. Our total software revenue for the quarter, which is the sum of software and software services revenue, was approximately $88.7 million, a year-over-year increase of 17.9% and represents 88.1% of total revenue. Professional service revenue in Q3 was $12 million, a decrease of $1.7 million over last year. We are on track to have professional service revenue be about 13% of total revenue on an annual basis. Recurring revenue reached $47.5 million, representing 47.1% of total revenue. It's worth noting that recurring revenue as reported in our GAAP financials is driven primarily by support contracts, and some term-based and SaaS subscription offerings, and enhances our visibility in both the near and long term. As Elad discussed, the majority of our revenue continues to come from the sales of perpetual licenses with recurring behavior. Non-GAAP gross margin for the quarter was 73.1%, expanding by 297 basis points year over year. A meaningful achievement that reflects the continuing revenue growth and efficiencies related to COGS. Throughout the year, gross profit has grown significantly faster than revenue, and this continued in the third quarter. Gross profit was $73.6 million, an increase of 18% year over year. The sustained improvement in our gross profit demonstrates the willingness of our loyal global customers to pay a premium for our differentiated technology. As we go, the meaningful operating leverage we have in our model is delivering steady material year-over-year improvements in profitability. Once again, non-GAAP operating income and adjusted EBITDA both grew significantly faster than revenue. In Q3, we generated $9 million of non-GAAP operating income, nearly triple the $3.4 million generated in Q3 last year. Adjusted EBITDA for the third quarter was $11.9 million, 81.4% higher than the $6.6 million generated last Q3. Put another way, we converted approximately $12 million in incremental revenue into approximately $5.3 million incremental adjusted EBITDA, reflecting the operational leverage we have in our business model. Q3 non-GAAP operating expenses were $64.6 million, aligned with our expectations. The global macroeconomic environment led to a weakening of the US dollar against the Israeli shekel and several other currencies, resulting in evaluation expenses of $1.9 million. Turning to tax, Q3 tax expenses were relatively higher due to increased pretax income, our global tax structure, and regional revenue mix. However, this does not affect our full-year tax outlook or annual guidance. We continue to expect our annual non-GAAP tax expenses to be about $11 million. Non-GAAP net income for the quarter was about $2 million, resulting in non-GAAP EPS of $0.03. GAAP net loss for Q3 was $3.4 million compared to a loss of $2.6 million in Q3 last year. The dialogue this quarter was primarily driven by increased tax expenses and FX impacts, as I discussed earlier. Our Q3 GAAP EPS loss was $0.07. Looking at our results for the first nine months of the year, our revenue was $293.8 million, up 14.7% year over year, and our non-GAAP gross profit grew even faster at 17.2% year over year. This performance highlights the operating leverage we have in our model, which continues to drive meaningful year-over-year improvements in profitability. Our GAAP operating income for the first three quarters of this year was $8.1 million versus an operating loss of $5.8 million during the same period last year. Non-GAAP operating income was $24.6 million, up nearly three times from the $9.7 million generated during the same period last fiscal year. Our adjusted EBITDA for the first nine months of this fiscal year was $33.2 million compared to $19.9 million in the same period last year, representing an increase of 67.2%. Non-GAAP EPS was $0.18 in the first nine months of this fiscal year compared to $0.04 in the same period last year. Turning to our balance sheet, our short and long-term contract liabilities, commonly referred to as deferred revenue, remain robust at about $117.9 million at the end of Q3. During Q3, we had strong cash flow from operations of $25 million and had free cash flow of $23.2 million for the first nine months of fiscal 2026. Net cash flow from operations was $20.4 million and free cash flow of $11.9 million. During Q3, we continued to execute our share repurchase program, which the Board approved in July 2025, repurchasing approximately 152,000 ordinary shares for a total of about $1.3 million. During the quarter, we further strengthened our cash position, which increased to $106.6 million with no debt, reflecting disciplined working capital management. Turning to capital allocation, we maintain sufficient working capital to run the business. Above this operating baseline, we regularly evaluate where we can deploy excess cash, including making targeted acquisitions that strengthen our strategic position and returning capital to shareholders. Now let me walk you through our execution against some of our key performance indicators. RPO, or remaining performance obligations, represent contracted revenue to be recognized in future periods. RPO is expected to continue to fluctuate, as it is influenced by factors such as health cycles, seasonality, deployment timelines, contract plans, and renewal timing. It is worth noting that the cancelable portion of subsequent deals is excluded from RPO. At the end of Q3, total RPO was $576.6 million versus $567.6 million at the same period last year. Total RPO is the sum of deferred revenue of $117.9 million and backlog of $458.7 million. Short-term RPO at the end of Q3 increased to $358.9 million, which we believe provides solid visibility into revenue over the next twelve months. This healthy RPO level validates the strength and resilience of our business. Q3 billings were $107.7 million, an increase of 2.9% versus the same period last year. We remain focused on driving strong results. Given the strong foundation we've built and the momentum of the business, we are raising our outlook for this fiscal year. We now expect revenue of $400 million, plus or minus 1%, which represents approximately 14% year-over-year growth at the midpoint of the range. We expect total software revenue to be approximately 87% of total revenue, aligned with our strategic goals. Annual non-GAAP gross margin to be 72.3%, reflecting an improvement of 130 basis points over the last fiscal year. Adjusted EBITDA of $47 million at the midpoint, representing about 60% year-over-year growth. This increased outlook for revenue, profitability, and our continuing execution is expected to generate non-GAAP diluted EPS of $0.24 at the midpoint of the revenue range. And we remain confident in our ability to generate $45 million of operating cash flow in FY 2026. We are very pleased with our consistent execution and the progress we are making towards achieving our targets for the fiscal year ending January 31, 2028. Revenue of about $500 million, gross margin of approximately 73%, adjusted EBITDA margin of greater than 20%. In closing, Q3 was another quarter of strong performance for Cognyte Software Ltd. We delivered meaningful revenue growth, expanded margins, and generated robust cash flow, all while continuing to invest in innovation. We believe we are delivering against all our growth pillars, increasing wallet share with existing high-value customers, adding new logos, and further expanding our market reach in the US. The combination of installed base expansion, strong contracted backlog, and execution of our growth strategy gives us confidence in our ability to generate sustained, profitable growth. We believe we are well-positioned to deliver on our commitment and create long-term value for shareholders. Thank you for your continued support. We will now open the call for questions.
Operator: Thank you. Our first question is from the line of Matthew Kalitri with Needham and Company. Your line is now open.
Matthew Kalitri: Great. Hey, guys. This is Matt Colicchio over at Needham. Thanks for taking our questions. When I look at some of the large deal announcements, year to date, you've announced customer wins totaling over $65 million in ACV. Can you help break down how much of this amount is currently RPO and revenue?
Elad Sharon: Yes. So, actually, what is in the RPO is the software license part. I'm checking whether you want to understand how we convert it to revenues. What exactly is the question?
Matthew Kalitri: I'm just trying to understand, like, when you announced these deals, how it works from signing to deployment and along that, like, how long usually elapses there and also, like, how does that flow through RPO and then start to be recognized in revenue? Just from a timing perspective.
Elad Sharon: Okay. So, usually, when we talk about large deals, the sales cycle takes a few quarters, between two, three to five, four quarters. And if it's a very significant deal, it takes a little bit longer. When it comes to the backlog conversion to revenue, it depends on the size of the deal. If it's a relatively small deal and the customer is ready, it could take a few months. If the deal is a larger deal and requires cost preparations and environment integrations, so it may take a few quarters. When a deal is landed, it's immediately on the RPO. If the scheduled timing to convert to revenue is within the next twelve months, it will land also in the CRPO. If we believe the portions of the deal are scheduled beyond twelve months, you'll see that in the RPO, but not in the CRPO. The relevant portion, of course. So that's usually how it works.
Matthew Kalitri: Got it. And maybe Okay. And that Oh, sorry.
David Abadi: Maybe to add on that, when you have a deal with the only the nonconstant bill element is included in the RPO.
Matthew Kalitri: Understood. Okay. Very, very helpful. Thank you. And then what portion of the license deals are being recognized upfront and how does that impact recognition in revenue versus RPO?
Elad Sharon: So we have multiple types of revenue recognition. In certain cases, we recognize over a percentage of time, meaning, like, or that we recognize the deal on a percentage of completion. Sorry. Or it could be upon delivery or upon SAT, which is acceptance criteria. It's really dependent on the contract with the customer. If you want to look, you can see that when we share the CRPO, it's based on the planning that when we believe the delivery will take place and they will be able to recognize revenue. So that is taken into consideration in our planning, and this is the reason that we are sharing the CRPO to give you an idea of what will happen in the next twelve months. You can see that we have a lot of wins, and everything is covered on the RPO. And we take that as a total number, and we'll be able to have very strong visibility, and that gives us the ability to plan efficiently. And that also allows us to see that our margin is even improving because we are able to deploy in a more efficient way, and that gives us also some benefits.
Matthew Kalitri: Okay. Awesome. Turning to US Federal, what are overall conversations like there? How did they change during the government shutdown we just went through, and have they picked up since it ended?
Elad Sharon: Yes. So maybe I'll give an overview of where we are in the US. So agencies in the US face similar problems that other agencies are facing and that we are serving worldwide. So we see that the demand drivers and the needs are very similar to other territories. And for that reason, we also believe that our technology is an excellent fit for the US needs. We discussed in previous calls that we started with certain local. We're able to acquire new customers. We got also follow-on orders and already have a lot of confidence from customers that there is a very good fit. In terms of the federal agencies, first of all, we started later, and then the shutdown came. Of course, the shutdown disrupted the engagements for a certain amount of time. Having said that, it doesn't change the fact that those agencies are facing challenges, new technology, and for that reason, I believe that they'll come back to the table. Some of the federal customers that we are engaging with already came to us after the shutdown relief and asked to resume discussions. I can also tell you in the US that, regardless of the shutdown, we continue to do a lot of efforts in order to expand our market access and brand awareness. We enhanced the sales and marketing activities. We participated in relevant industry conferences that I shared in previous calls. An example is Napier. We're expanding our partner's network. We signed with LexisNexis in Q3. So we have a lot of activities running federal agencies in the US. So if I have to summarize it, I really believe our opportunity is significant, and it's not a matter of if. It's a matter of when, and we'll continue to be very focused on this territory and continue to invest, and I believe the fruits will come.
Matthew Kalitri: Okay. Great to hear. And then, last one for me. I believe you'd said in the prepared remarks that you've delivered structured training to LexisNexis. Are they ready to start selling now, or where are you at in that training process?
Elad Sharon: Yes. So with LexisNexis, we signed last quarter. The partnership is focused on helping with access expansion to the state and local and federal areas. We conducted trainings to their sales force, and we also had joint meetings and events with the LexisNexis team. We are educating them. Some of their sales force are already ready to go to customers and discuss our offerings. In certain cases, we go together. So the progress is very good, and I believe it will progress very fast.
Matthew Kalitri: Awesome to hear. Thanks so much.
Operator: Thank you. Our next question comes from the line of Taz Kajolgi with Roth Capital. Your line is now open.
Taz Kajolgi: Hey, guys. Thanks for taking my question. I just want to follow-up on the US market. I know this is very early for you guys in terms of entering the US market. But just a little bit of color on how the US market differs from other parts of the world in terms of competitive landscape that you guys see in bake-offs? When you look at US deals in the US market, what does the competitive landscape look like? Who do you guys normally see in those scenarios versus other parts of the world?
Elad Sharon: Yeah. So first of all, the challenges are similar. In the US market, we've started with operational units within law enforcement agencies, first state and local, and also federal. And that's the market we are focusing on. And the competitive landscape is a little bit different, but with similar technologies. Actually, operational units are using similar solutions globally. But in the US, we do see LP Harris, for example, and Noctasik as companies that are focused in the US territory.
Taz Kajolgi: Got it. Very helpful. Then maybe for David. David, can you comment on the duration, the contract duration this quarter? If I look at the mix of RPO versus CRPO, it looks like the duration probably went down year over year slightly. Maybe just clarify if that was the case and what do you think about the duration contract duration trends going forward?
David Abadi: So if you think if you look at the overall RPO, it's very strong. Short term and long term, both of them give us the confidence that we will continue to grow over time. If you look at the CRPO, it grew year over year, I would say, in about 10% year over year growth. And given what we see from a demand perspective and how deals are flowing, we are very comfortable with this RPO.
Taz Kajolgi: Got it. Just a few more for me. So, strong numbers from you guys overall this quarter looks very good. But if you look at the professional services line, the PS line, I think it was a little bit lighter versus last quarter. Any comment on if deployments were pushed out or anything to help us understand why that services line seems a little bit lighter than what was last quarter?
David Abadi: So, actually, professional services, when we started the year, actually, we mentioned that professional services will be around 13% of total revenue. This is what we saw that...
Operator: Ladies and gentlemen, please stand by. Your conference will resume momentarily. Speakers, you may resume your conference. Thank you.
David Abadi: So, unfortunately, there was a problem with the line, so I will repeat my answer from the beginning because I don't really know where we stopped. So...
Taz Kajolgi: And you mentioned that you gave us a guide of 13% of full-year revenues for the services. Right? So that's where I guess we got cut off.
David Abadi: Okay. So I would just remind everyone, like, what I was going to say is the professional services. The professional services, it could be deployment services. It could be some development work, training, or artery selling. And we actually deliver it because that creates a faster adoption by the customers. And also allows us to bring to the table faster the, I would say, the cross-sell and the upsell. So overall, the situation within professional services between quarters is mainly related to revenue recognition criteria. And, actually, I'm very pleased with where we are. And we are aligned with our target to be in 13% of total revenue on the professional services. I think that you also asked about software and software services. So you can see that first overall software revenue, which is the combination of total, of software and software services grew by 18%. If you look at the way that we acquired customers, most of the customers are once we acquired them, they're staying with us for a long period. Usually, they acquired perpetual licenses with support contracts. This is the majority of them. And if you think about it, it's a recurring nature in behavior. So meaning that the customer continues to buy with you on a regular basis. So we do have certain cases that the customer does an upgrade of existing licenses, which was under support and it's moved to be a software. So from our perspective, the right metrics to look at the business is the total software, which combines the software and the software services. And when you look at that, you can see that it's also growing very, very well.
Taz Kajolgi: Got it. Very helpful. Last one for me, David. I know you gave us a guide for the full revenue for the year. But if you can give us some more details or some more color on how to think about that mix between software, software service, and PS. Because I know last if I look at Q4 of last year, I think we had a big jump in software revenue. I think Q3 to Q4, there's a big jump. Seasonally. In software revenues. I just want to make sure that we don't end up mismodeling the different line items for revenue. So maybe if you can, some more color or some more clarity on how to think about the mix of the revenue between software, software services, and PS.
David Abadi: Oh, so let me start with the general comment. You can see that the software revenue grew this quarter significantly, almost 40% versus the previous period. So we are very pleased with the way that the software revenue grew. As I mentioned, our view is that we need to look at the total software revenue, which should mean a combination of the software and the software services. And to give you some color, I believe that it will be 87% of the total revenues. If you look at our guidance, you can say that out of the 400, 87% will come from the software and the software services.
Taz Kajolgi: Got it. Very helpful. Thank you.
Operator: Thank you. As a reminder to ask a question at this time, please press 11 on your touch-tone telephone. Our next question comes from the line of Charlie Zhou with Evercore. Your line is now open.
Charlie Zhou: Awesome. Thank you very much for taking our question. This is Charlie for Peter at Evercore. Just a quick one for me. This quarter, we obviously saw a very impressive margin outperformance both on gross margin and operating margin. And I know you guys have provided a gross margin target of 73% by FY '28, which you guys have already achieved this quarter. Could you please just help us to maybe break down the primary drivers of the margin outperformance and also, like, how should we think about the gross margin expansion trajectory from here? And, also, any updated color on the adjusted EBITDA margin as well. Thank you.
David Abadi: Thank you. So, actually, we are very pleased with our 73% gross margin this quarter. And as you can see, there are different dynamics that are taking place over time. So there is a fluctuation between the quarters. But if you look at the overall, you see that the trend is in the right direction, and we are getting to the 73 already in this quarter. And we guided for this year to be at 72.3%, which is almost 130 basis points higher than last year. What we do see within our mix is that overall, when you look at the software, which is software and software services, we are above 80% of total gross margin. If you look at the professional services, we're also improving the professional services. Actually, Q3 was about 20%. But, again, I don't think that it's stable. I would say that if you think about it on an annual basis, it should be in the mid-teens. What the dynamic behind it is, first, customers are willing to pay premium prices for our solution. We have a very strong solution based on our advanced analytics, which customers are willing to pay premium prices, and we talk about it a lot that we are not fighting or competing with pricing. We are investing a lot in R&D because we believe that once you acquire a customer and you provide the customer with a premium solution and addressing their evolving needs, they will continue to stay with you and be willing to pay the right level of pricing. So it's all about the value, and that drives incremental gross margin. And, also, there are some efficiencies that are taking place with our COGS, mainly related to our capability to improve cost structure if it's the fact that we are applying AI capability within the organization that also drives better profitability. So overall, it's driven by the value we provide to our customers. About adjusted EBITDA, we are guiding for this year to be $47 million. It's almost 60%, I think it talks about the leverage. When you think about us as a company, look at our financials over the last few years, we are on a regular basis delivering leverage in our model. We believe in profitable growth. We structure the business in a way that while we are growing, we drive more profitability, and I'm very pleased that we're able to drive it to the bottom line and to create value for shareholders. This is what we are trying to do. This is what we are delivering, and I believe that we'll continue to do so.
Charlie Zhou: Thank you very much. Maybe just to follow-up on the adjusted EBITDA margin. Based on your guidance, you're basically projected to achieve around 12% adjusted EBITDA margin by fiscal 2026. And you guys have provided a greater than 20% target for fiscal 2028. Should we think about the 800 basis points expansion from here as more linear, like, 400 basis points in '27 and maybe 400 basis points in '28? Is that the correct way to think about it?
David Abadi: Actually, I think, you know, we shared the target for FY 2028 in April. And we are very pleased with where we are getting. We are progressing towards our targets. Obviously, it would be a gradual improvement over time. We are not in a position now to give the plan for the next year, but it would be over time a gradual improvement.
Charlie Zhou: Awesome. Sounds good. Thank you very much.
Operator: Thank you. And I'm currently showing no further questions at this time. I'd like to turn the call back over to Dean Ridlon for closing remarks.
Dean Ridlon: Thank you, Shannon, and thank you, everyone, for joining us on today's call. Please feel free to reach out to me should you have any questions, and we look forward to speaking with you again next quarter. Thank you all.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect.